Operator:
’: Joining us today are Keith Busse, Chairman and Executive Officer; Richard Teets, Executive Vice President, Steel Dynamics Incorporated and President and Chief Operating Officer of Steel Operations; Mark Millett, Executive Vice President of Steel Dynamics Incorporated and President and Chief Operating Officer of OmniSource Corporation; Gary Heasley, Executive Vice President of Steel Dynamics Incorporated and President of New Millennium Building Systems; Theresa Wagler, Executive Vice President and Chief Financial Officer of Steel Dynamics Incorporated; and Fred Warner, Investor Relations Manager. For opening remarks, I would now like to turn the call over to Mr. Fred Warner. Please go ahead, sir.
’: Joining us today are Keith Busse, Chairman and Executive Officer; Richard Teets, Executive Vice President, Steel Dynamics Incorporated and President and Chief Operating Officer of Steel Operations; Mark Millett, Executive Vice President of Steel Dynamics Incorporated and President and Chief Operating Officer of OmniSource Corporation; Gary Heasley, Executive Vice President of Steel Dynamics Incorporated and President of New Millennium Building Systems; Theresa Wagler, Executive Vice President and Chief Financial Officer of Steel Dynamics Incorporated; and Fred Warner, Investor Relations Manager. For opening remarks, I would now like to turn the call over to Mr. Fred Warner. Please go ahead, sir.
’: Joining us today are Keith Busse, Chairman and Executive Officer; Richard Teets, Executive Vice President, Steel Dynamics Incorporated and President and Chief Operating Officer of Steel Operations; Mark Millett, Executive Vice President of Steel Dynamics Incorporated and President and Chief Operating Officer of OmniSource Corporation; Gary Heasley, Executive Vice President of Steel Dynamics Incorporated and President of New Millennium Building Systems; Theresa Wagler, Executive Vice President and Chief Financial Officer of Steel Dynamics Incorporated; and Fred Warner, Investor Relations Manager. For opening remarks, I would now like to turn the call over to Mr. Fred Warner. Please go ahead, sir.
Fred Warner: Thank you. And welcome to the Steel Dynamics first quarter 2010 conference call. The call is being webcast live April 20, 2010 from Fort Wayne, Indiana. Later today, you will be able to replay the call from our website, or download the call as a podcast.
’: These statements are not intended as guarantees of future performance. We caution that actual future events and results may differ materially from such forward-looking statements or projections that may be made today. Some factors that could cause actual results to differ include general economic conditions, governmental monetary and fiscal policy, industrial production levels, changes in market supply and demand for our products, foreign imports, conditions in the credit markets, the price and availability of scrap and other raw materials, equipment performance or failures or litigation outcomes.
’:
’:
’: The program is a part of the new Discovery channel series entitled, What a Tool that showcases large impressive machines and technology. The half-hour segment featuring Steel Dynamics tomorrow night highlights the electric-arc furnaces at Butler. This is an opportunity to see an EAF in operation in a way that few will see filmed in high definition with some segments in slow motion. Again, the program is on the Discovery channel, What a Tool, and will be shown at 10 p.m. tomorrow night Wednesday, April 22nd, replay is schedule for 1 a.m.
’:
’:
Keith Busse:
’:
’:
’:
’:
’: Steel segment profit margins also as noted, came under just a little bit of pressure as scrap costs which were up sequentially, month in and month out, December, January, February, March kind of timeframe. Put a little pressure on us. Pricing almost kept up with scrap cost on a net ton charge basis going up $56 per ton, while pricing went up $50 a ton.
’: Steel segment profit margins also as noted, came under just a little bit of pressure as scrap costs which were up sequentially, month in and month out, December, January, February, March kind of timeframe. Put a little pressure on us. Pricing almost kept up with scrap cost on a net ton charge basis going up $56 per ton, while pricing went up $50 a ton.
’: Steel segment profit margins also as noted, came under just a little bit of pressure as scrap costs which were up sequentially, month in and month out, December, January, February, March kind of timeframe. Put a little pressure on us. Pricing almost kept up with scrap cost on a net ton charge basis going up $56 per ton, while pricing went up $50 a ton.
’:
’:
’: And OmniSource benefited from increased volumes, a higher scrap prices achieving an operating profit of $43 million during the quarter. I might point out as I was reading the morning mail and all the analyst reports that, there were some folks that saw our earnings maybe coming in a little short on the steel side from their respective projections and maybe a little north on the scrap side from their projections.
’:
’:
’:
’:
’: But I want to remind everyone that we have our spring outage in the second quarter and that will affect the two divisions a little bit at flat roll and SBQ because they are running at capacity. The other divisions would be rather unaffected by an outage, because they are not running at capacity, the outage will really have no impact from that perspective.
’: But I want to remind everyone that we have our spring outage in the second quarter and that will affect the two divisions a little bit at flat roll and SBQ because they are running at capacity. The other divisions would be rather unaffected by an outage, because they are not running at capacity, the outage will really have no impact from that perspective.
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
Richard Teets:
’:
’:
’:
’:
’:
’: Number two medium section mill will resume operation shortly as the inventory is required. This will allow for more time for rail production on the heavy section mill with all of the products, up to 14-inch sections being shifted over to the new mill. At Pittsboro, in March the melting and casting, the rolling mill and the shipping performances were all in the top 10 months historically. Our finishing also set a quarterly record for throughput reflecting the increased interest in value-added products. March was also the third best month ever for sales with inventories on all parts, ours and our customers very low, our shipping was temporarily strained, but we are all focusing with our priority on-time deliveries to all of our customers. At Roanoke, the quarter continued to show improvements in operating utilizations, as Keith mentioned, the melting and casting department operated at 74% and the rolling mills at 77%. Now these rates continue in an improving trend. Our Roanoke also had their maintenance outage, as Keith referred to, the maintenance outages. They had theirs the last month of March and the first month of April, so this should really be negligible impact in the second quarter at Roanoke.
’: Number two medium section mill will resume operation shortly as the inventory is required. This will allow for more time for rail production on the heavy section mill with all of the products, up to 14-inch sections being shifted over to the new mill. At Pittsboro, in March the melting and casting, the rolling mill and the shipping performances were all in the top 10 months historically. Our finishing also set a quarterly record for throughput reflecting the increased interest in value-added products. March was also the third best month ever for sales with inventories on all parts, ours and our customers very low, our shipping was temporarily strained, but we are all focusing with our priority on-time deliveries to all of our customers. At Roanoke, the quarter continued to show improvements in operating utilizations, as Keith mentioned, the melting and casting department operated at 74% and the rolling mills at 77%. Now these rates continue in an improving trend. Our Roanoke also had their maintenance outage, as Keith referred to, the maintenance outages. They had theirs the last month of March and the first month of April, so this should really be negligible impact in the second quarter at Roanoke.
’: Number two medium section mill will resume operation shortly as the inventory is required. This will allow for more time for rail production on the heavy section mill with all of the products, up to 14-inch sections being shifted over to the new mill. At Pittsboro, in March the melting and casting, the rolling mill and the shipping performances were all in the top 10 months historically. Our finishing also set a quarterly record for throughput reflecting the increased interest in value-added products. March was also the third best month ever for sales with inventories on all parts, ours and our customers very low, our shipping was temporarily strained, but we are all focusing with our priority on-time deliveries to all of our customers. At Roanoke, the quarter continued to show improvements in operating utilizations, as Keith mentioned, the melting and casting department operated at 74% and the rolling mills at 77%. Now these rates continue in an improving trend. Our Roanoke also had their maintenance outage, as Keith referred to, the maintenance outages. They had theirs the last month of March and the first month of April, so this should really be negligible impact in the second quarter at Roanoke.
’:
’:
Keith Busse:
’:
’:
’:
’:
’: I usually always do offer my own personal comments on the scrap market as we go forward. Mark and I have not compared notes, but I think the market got a little ahead of itself in the first quarter and a lot of it was due to flows. It was a wicked winter and it brought flows to a stand still and for those that needed scrap, it became a little bit more expensive than contemplated, probably moved a little faster than market pricing at that time was moving.
’: I usually always do offer my own personal comments on the scrap market as we go forward. Mark and I have not compared notes, but I think the market got a little ahead of itself in the first quarter and a lot of it was due to flows. It was a wicked winter and it brought flows to a stand still and for those that needed scrap, it became a little bit more expensive than contemplated, probably moved a little faster than market pricing at that time was moving.
’: I usually always do offer my own personal comments on the scrap market as we go forward. Mark and I have not compared notes, but I think the market got a little ahead of itself in the first quarter and a lot of it was due to flows. It was a wicked winter and it brought flows to a stand still and for those that needed scrap, it became a little bit more expensive than contemplated, probably moved a little faster than market pricing at that time was moving.
’:
’:
’:
’:
Mark Millett: Thanks, Keith. Good morning, everybody. As has already been suggested, increasing steel mill utilization through the quarter, created relatively strong demand and progressively high monthly shipping volumes for OmniSource.
’: Early in the quarter, cold weather hampered retrieval efforts, creating a tight supply environment, pushing higher prices. It gave the scrap community including ourselves an opportunity to liquidate low-price scrap accumulated in the November, December timeframe. In February, strong order books in the flat rolled arena pressured prime scrap supply, the market becoming somewhat disconnected as prime pricing went up $20, $25, or shredded and obsolete grades remained essentially flat to down 10, as bar mill interest was pretty flat along with export interest was somewhat stagnant. However, the March ended strong, prime pricing pushing up $60 to $65 gross tons to approximately $470 a gross ton for prime grades. Our non-ferrous operations showed a similar improvement. Volumes climbed to 238 million pounds, up around about 17% over last quarter. After retrieving in February, copper pricing advanced on perceived improvement in both the U.S. and global economies recovering, strong Chinese import activity, the most influential, probably hedge-fund activity and the weak dollar. There still seems to be a disconnect between pricing and supply/demand fundamentals in that particular metal. Aluminum remained strong throughout the quarter. Continued focus on cost control as volumes have returned, coupled with margin expansion from the appreciating markets, drove an operating profit as Keith mentioned of about $43 million prior to amortization of intangibles for the metals recycling team. They had pretty strong favorable performance relative to what we might see from our peers.
’: Transportation difficulties leading to temporary inventory shortfalls have diminished and both the domestic and export demand appears to be flat. So the recycling platform will thus not have the same advantage of expanding margins in the near-term and earnings expectations of metal recycling should therefore be, I think somewhat tempered for Q2. Ferrous resources relative to iron resource initiatives, Iron Dynamics continues to provide an important part of the Butler iron need. We transferred about 58,500 tons of liquid pig iron and HBI over to the sheet mill at (inaudible). And in addition to positive financial contribution to the quarter by the Iron Dynamics team, the liquid iron allows significant productivity and cost-control enhancements to the melting operation at Butler. Furthermore it has reduced their dependence on the expensive and appreciating import pig iron market. In Minnesota, Mesabi Nugget, the startup and commissioning of the Mesabi Nugget plant has been progressing well, as Keith mentioned, we shipped about 7,000 -- 7,200 metric tons during the quarter, since our mid-January 1st round. During the last call, it was noted that the principal conveyor systems transferring iron concentrate, pulverized coal, fluxes and other process materials between the core components of the plant were such poor design and poor fabrication that the plant could only function a few hours at a time. In March, these systems were replaced and now functioning without issue. In April month to date, the plant has been operating at about 40% to 45% availability, a phenomenal operating performance for this stage of commissioning of the pioneering technology. As is typical though with commissioning of new processes and large complicated equipment, when one bottleneck is cleared and another hurdle appears. Currently the product coolant is contained throughput to about 50% of eventual capacity. An additional drive system is on order and will be installed during this quarter. No fundamental issue, just a hurdle to jump over.
’: The fines generation effectively reduces the process yield and increases material consumption per ton of nuggets produced. These issues, similar issues were experiences during the pilot plant operation and will be resolved through process optimization but are increasing operating costs for the time being.
’:
’:
’:
Keith Busse:
’:
Mark Millett: Minus 30 degrees did inhibit performance earlier in the year, yeah.
Keith Busse:
’:
’:
Gary Heasley:
’:
Keith Busse: Okay.
Gary Heasley:
’:
’:
’:
’: So overall, I think the outlook is positive in spite of very, very weak markets. The cost reduction efforts that the New Millennium team has made will continue to benefit them as we recover and the exit of this major competitor is very positive for New Millennium. So as Keith said we expect to narrow our losses in Q2, as we see more volume and better pricing begin to impact results and move from the order book to the shop floor. Thank you.
’: So overall, I think the outlook is positive in spite of very, very weak markets. The cost reduction efforts that the New Millennium team has made will continue to benefit them as we recover and the exit of this major competitor is very positive for New Millennium. So as Keith said we expect to narrow our losses in Q2, as we see more volume and better pricing begin to impact results and move from the order book to the shop floor. Thank you.
’: So overall, I think the outlook is positive in spite of very, very weak markets. The cost reduction efforts that the New Millennium team has made will continue to benefit them as we recover and the exit of this major competitor is very positive for New Millennium. So as Keith said we expect to narrow our losses in Q2, as we see more volume and better pricing begin to impact results and move from the order book to the shop floor. Thank you.
Keith Busse: Thank you, Gary. Theresa?
Theresa Wagler: Good morning, everyone. During the first quarter, we opportunistically accessed the high-yield market and we strengthened our liquidity position and our longer term view capital structure. On March 11th, we issued 350 million of ten-year non-call five senior notes at 7 5/8 that are due in 2020.
’: In addition to adding the flexibility of increased liquidity and historically advantageous long-term pricing, the tender notes also allowed for greater flexibility within our debt maturity time horizon and to ladder that nicely with our existing maturities occurring in years begin 2012 through 2016. During the quarter, net debt decreased $33 million and our leverage ratio continued to improve as total debt to EBITDA was 4.1 times versus 5.5 times at the end of the year. And our interest coverage ratio improved from 2.6 to 3.8 times. Cash flows from operations were $73 million as working capital required additional funding during the quarter, primarily reflecting increased finished goods and selling values, not volumes, at our mills recycling and steel operations and most notably in our flat rolled products. We currently anticipate a further draw on cash flows related to working capital movement throughout the third quarter with a normal seasonal trend of decreased working capital needs in the fourth quarter. At the end of the year, we had a $137 million state and Federal income tax receivable. During the first quarter, we received just over $14 million of those funds in state income tax refunds and we continue to expect to receive a large portion of the remaining $125 million in the second quarter or at worst-case scenario beginning of the third quarter. Our effective tax rate before minority interest was 35.2% which was lower than anticipated during the last conference call due to the recognition of state income tax benefits. This impacted the quarter by about one penny. We currently estimate our full-year effective tax rate to be approximately 37%. This would mean that second quarter effective rate would need to be around 37.5%. Capital investments during the quarter totaled $31 million, of which a little over half was related to the Minnesota project. Depreciation during the quarter was $43 million and capitalized interest related to these projects was $3.5 million. Capitalized interest is actually about half of what it was during the fourth quarter of 2009, we expect that trend to continue and the capitalized interest to decrease further, as our capital projects that are currently under construction are completed. Our estimated 2010 full-year capital investments remain at an amount at less than $150 million, again a very low rate as compared to historical levels. Our philosophy remains disciplined, these plans only include those items with compelling and fairly quick returns or those impacting environmental and safety issues. As we proceed through 2010 if market and demand levels warrant and liquidity remains strong, we would increase the number of authorized projects. Currently over half of the planned projects reside within our steel operations. The outlook related to 2010 depreciation and amortization remains between $55 million and $60 million per quarter. At March 31st, we had 216.4 million shares of common stock outstanding, 16.4 million shares related to convertible notes outstanding and 6.1 million of outstanding stock options. For the second quarter, given our current dilution expectations, we would expect diluted shares to be in the range of 235 to 235.5 million shares.
’:
’:
’:
’:
Keith Busse:
’:
’:
Operator:
’:
Kuni Chen – Banc of America/Merrill Lynch: Hi. Good morning, Keith and everybody.
Keith Busse: Good morning, Kuni.
Kuni Chen – Banc of America/Merrill Lynch: Just to start off. Maybe you guys went through it a bit quickly, so perhaps I missed it. Can you just quantify the outages for 2Q in flat rolled and SBQ?
Keith Busse: They are about four-day outages, Kuni, at both operating units at SBQ and flat roll and will impact to some degree the shipping volume in the quarter, not to a great degree. You have comparable number of days1 in each quarter, but from our perspective, the outage occurring right in the heart of a shipping week and production week, you might see a little less volume coming out of flat rolled and SBQ, although they are continuing to achieve great things in the SBQ bar division today.
’:
Kuni Chen – Banc of America/Merrill Lynch: Okay. So four days for both.
Keith Busse: We can make up ground in the other units…
Kuni Chen – Banc of America/Merrill Lynch: Right.
Keith Busse:
Kuni Chen – Banc of America/Merrill Lynch:
’:
Keith Busse:
’:
Kuni Chen – Banc of America/Merrill Lynch:
’:
’:
Theresa Wagler:
’:
’:
Keith Busse:
’:
’:
Kuni Chen – Banc of America/Merrill Lynch: Okay. Very good. Thanks.
Keith Busse: Thank you.
Operator:
’:
’:
Mark Parr – KeyBanc Capital Markets: Okay. Thanks very much. Good morning.
Theresa Wagler: Good morning.
Mark Parr – KeyBanc Capital Markets:
’:
Keith Busse: Yeah, Mark.
Mark Parr – KeyBanc Capital Markets: Or flat rolled?
Richard Teets:
’:
Mark Parr – KeyBanc Capital Markets: Okay.
Richard Teets: So the fact that it might back up in May, will probably have very little to do with pricing -- the pricing environment in the flat rolled community, as I see it anyway.
Mark Parr – KeyBanc Capital Markets: Okay. How much for Steel Dynamics for Butler, how much of your mix are on CRU 90-day contracts and what is that number looking like for the second quarter versus the first quarter?
Richard Teets:
’:
’:
’:
Mark Parr – KeyBanc Capital Markets: Just in general, could you make a comment about the index pricing that you have on the books and how much of an impact that will have on the second quarter?
Keith Busse:
’:
’:
Mark Parr – KeyBanc Capital Markets:
’:
’:
Keith Busse: It is.
Mark Parr – KeyBanc Capital Markets:
’:
Keith Busse:
’:
’:
’:
’:
Mark Parr – KeyBanc Capital Markets: Right.
Keith Busse:
’:
Mark Parr – KeyBanc Capital Markets: Right.
Keith Busse:
’:
Mark Parr – KeyBanc Capital Markets: Right.
Keith Busse:
’:
’:
’:
Mark Parr – KeyBanc Capital Markets: Right.
Richard Teets: On the bars, also, Mark, again, there was a slight increase in scrap and there was no price increase, stability is the name of the game right now in the merchant section and in construction world.
Mark Parr – KeyBanc Capital Markets: Okay. Just to get back to flat rolled, how much of your order book at Butler is on -- some sort of a formula pricing mechanism?
Keith Busse:
’:
’:
Mark Parr – KeyBanc Capital Markets: Okay. All right.
Keith Busse: He is shaking his head.
Mark Parr – KeyBanc Capital Markets: Okay. And then just one last question if I could. You know, you would -- Keith you had made a comment, you thought consensus was perhaps a little bit high, were you referring to the second quarter or the full year in that thought process?
Keith Busse:
’:
Mark Parr – KeyBanc Capital Markets: Okay. All right. And congratulations on a great quarter. Thank you very much for the color. Appreciate it.
Keith Busse: Thank you.
Operator:
’:
Brett Levy – Jefferies & Company:
’:
’:
’:
Keith Busse: We would decline to comment on it, it would not be a 3 million ton effort, it would be closer to 1.6 million to 1.8. million and obviously all of the output initially would be hot rolled, but we would have a cold rolled presence at that facility, but that mill could not only sell cold roll products, it could sell into the coating markets we already are engaged in.
Brett Levy – Jefferies & Company: So it could like source The Techs and that sort of thing?
Keith Busse:
’:
’:
Brett Levy – Jefferies & Company: Okay. And then the second question, you guys guided to better gathering activity at OmniSource in 2Q and 3Q and you had slightly weaker pricing in May. As you look at it all in, do you think on an operating income basis, do you think OmniSource is directionally up or down from 1Q to 2Q?
Keith Busse: It is probably in my opinion, fairly flat.
Brett Levy – Jefferies & Company: Okay. Thanks very much, guys.
Keith Busse: Yeah.
Operator: Our next question is from Timna Tanners with UBS. Please go ahead.
Timna Tanners – UBS: Hi, good morning.
Keith Busse: Good morning.
Theresa Wagler: Good morning.
Timna Tanners – UBS:
’:
Keith Busse:
’:
Timna Tanners – UBS: Just flat rolled?
Keith Busse:
’: I think their inventories are probably going to have to grow shipments are up and service center inventories are because of the shipping volume rising, the days in inventory are less and I think that that bodes well for continuing volume being delivered to the flat rolled universe out there, us included, naturally.
’: I think their inventories are probably going to have to grow shipments are up and service center inventories are because of the shipping volume rising, the days in inventory are less and I think that that bodes well for continuing volume being delivered to the flat rolled universe out there, us included, naturally.
’:
’:
’:
’:
’:
’:
’:
’:
Timna Tanners – UBS: That makes sense, yeah, go ahead.
Richard Teets: Timna, I might add that everything to what Keith has mentioned is that as we filled up, once we became full on the hot side -- on the hot mill side, then that choked off any expansion of value-added orders that we could take because they were already committed to other orders.
’:
’:
’:
’:
’:
Timna Tanners – UBS:
’:
Richard Teets:
’:
’:
’:
’:
Timna Tanners – UBS: Okay. Great. So, my follow on question is really, as you see more of the integrated capacity restart, how do you think that might change both your shipments and your mix going forward on the flat rolled side?
Keith Busse:
’:
’:
’:
’:
Timna Tanners – UBS: Okay. Great. Thanks very much.
Operator:
’:
Michelle Applebaum – SMI: Hi.
Theresa Wagler: Good morning.
Michelle Applebaum – SMI: Real nice quarter and but I had a question, I thought I heard you say that consensus was too high, Keith. Were you talking about the June number, $0.37 or were you talking about the fiscal year, December 10th number of 131?
Keith Busse:
’:
’:
’:
’:
Michelle Applebaum – SMI: For the second quarter?
Keith Busse: Right.
Michelle Applebaum – SMI: Okay. And in this market nobody is asking you to forecast beyond next week much less for the rest of the year. I just wanted to clarify what you were referring to? My second question is on Omni. It sounded to me like Mark was a little bit more hedged. Keith, you said flat results in the second quarter. Mark, I thought you said it would not be a repeat. Can you guys, am I hearing that correctly? And by the way, wow, performance in the quarter.
Mark Millett:
’:
Michelle Applebaum – SMI:
’:
Mark Millett:
’:
’:
Keith Busse:
’:
Michelle Applebaum – SMI: Okay. And then you said something about another flat-rolled mill and I just...
Keith Busse:
’:
Michelle Applebaum – SMI: Okay. No thoughts about, you had talked for a long time about Texas or West Coast -- Texas was a while ago then a West Coast, Texas I think …
Keith Busse: I never talked about Texas.
Michelle Applebaum – SMI: Okay.
Keith Busse: And West Coast was a long time ago.
Michelle Applebaum – SMI:
‘:
‘:
Keith Busse:
’:
’:
Michelle Applebaum – SMI: When you say better mouse trap, are you talking about a traditional mill, are you talking about something that could be more of the micro mill style?
Keith Busse:
’:
Michelle Applebaum – SMI: Likely to be something with smaller capacity, smaller footprint is what I would suspect?
Keith Busse: Yeah.
Michelle Applebaum – SMI: Okay. Could it be half the volume of a traditional Steel Dynamics mill?
Keith Busse: There you go…
Michelle Applebaum – SMI:
’:
’:
Keith Busse: I think you said it carefully, correctly.
Michelle Applebaum – SMI: Okay. So something that could be half the size, you are saying?
Keith Busse: Yes.
Michelle Applebaum – SMI: Okay. Or smaller?
Keith Busse:
’:
Michelle Applebaum – SMI:
’:
’:
’:
’:
Mark Millett:
’:
Keith Busse: I think SDI engineering and thought process will have an impact on a more perfect tool.
Michelle Applebaum – SMI: You don’t have to answer this question, but would the technology be from a domestic or foreign source?
Keith Busse: No comment.
Michelle Applebaum – SMI:
’:
’:
’:
Keith Busse: Thank you.
Mark Millett: Thank you.
Operator:
’:
Sal Tharani – Goldman Sachs: Good morning, guys
Keith Busse: Good morning.
Theresa Wagler: Good morning.
Mark Millett: Hi, Sal.
Sal Tharani – Goldman Sachs:
’:
Keith Busse:
’: But at any rate, I think steel can benefit. I think the scrap side of the plan could be impacted to some degree, but I think volumes are growing and any margin lessening could be, I think, positively dealt with through volume improvement.
’: But at any rate, I think steel can benefit. I think the scrap side of the plan could be impacted to some degree, but I think volumes are growing and any margin lessening could be, I think, positively dealt with through volume improvement.
’: But at any rate, I think steel can benefit. I think the scrap side of the plan could be impacted to some degree, but I think volumes are growing and any margin lessening could be, I think, positively dealt with through volume improvement.
’: But at any rate, I think steel can benefit. I think the scrap side of the plan could be impacted to some degree, but I think volumes are growing and any margin lessening could be, I think, positively dealt with through volume improvement.
Sal Tharani – Goldman Sachs:
’:
Mark Millett:
’:
Sal Tharani – Goldman Sachs: Okay. And last question, Mark, on the Mesabi Nugget. You mentioned two bottlenecks besides the conveyor system, which you have resolved. One is the cooling system I believe you said, which you have ordered some new equipment. Can you let us, can you give us an idea of when do you think will be replaced? And the other was a problem which you said you also had in the pilot project, which I believe you said it produces too much fines. Is that -- and what can be done to resolve that or how impactful that problem is?
Mark Millett:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
Keith Busse: My…
Sal Tharani – Goldman Sachs:
’:
Keith Busse:
’:
’:
’:
Mark Millett: That has not changed in 20 years.
Sal Tharani – Goldman Sachs: Are these two mutually exclusive problems, it means you can work on the one while the other one you are waiting for the equipment?
Mark Millett: Absolutely.
Sal Tharani – Goldman Sachs: Okay.
Mark Millett:
’:
Sal Tharani – Goldman Sachs: Okay. Thank you very much.
Operator:
’:
Tony Rizzuto – Dahlman Rose & Company: Thank you very much. Hi, everyone. I just had a couple of questions. The first one is just a follow-up on Mesabi Nugget again. Do you guys anticipate that you will be operating at effective capacity or close to effective capacity as you move into 2011?
Mark Millett:
’:
Tony Rizzuto – Dahlman Rose & Company: Okay.
Mark Millett: The last -- with any process like this, the last 20%, takes a lot of effort and some time. The learning curve is a lot steeper at the present time.
Tony Rizzuto – Dahlman Rose & Company: Thanks, Mark. And the other question, just a follow-up on the demand that you are seeing on the flat rolled side. And obviously coming into this year, the end of destocking and automotive and energy markets and service centers, continue to maintain very low inventories. But are you seeing any broadening out right now of that demand? Is it getting better and will it broaden out into other areas? What can you tell us about the real physical demand for flat rolled right now?
Keith Busse:
’:
Tony Rizzuto – Dahlman Rose & Company: Sure.
Keith Busse: We are also looking that and you say, residential housing, the starts were below, so they, offset, they were down 10% to 15%. But with commercial construction being light and so forth, we seem to pick up a little bit more in appliances. Consumers tend to lead the way, in this kind of recovery with construction of residential and then commercial following are deals [ph].
Tony Rizzuto – Dahlman Rose & Company:
’: How do you see all of this playing out? I know the visibility is very short right now but what thoughts do you have about that, are we possibly running up the risk here of seeing capacity just come on too quickly in the industry as a whole?
Keith Busse:
’:
Tony Rizzuto – Dahlman Rose & Company: Yeah.
Keith Busse:
’:
’:
Tony Rizzuto – Dahlman Rose & Company: Right.
Keith Busse:
’:
’:
’:
’:
’:
’:
’:
Tony Rizzuto – Dahlman Rose & Company:
’:
Operator:
’:
Chuck Bradford – Affiliated Research Group: Good morning.
Keith Busse: Good morning.
Chuck Bradford – Affiliated Research Group:
’:
’:
’:
’:
Keith Busse: Second half of next year?
Chuck Bradford – Affiliated Research Group:
’:
’:
Keith Busse: Well, Mark is looking at his forward-looking operating data.
Chuck Bradford – Affiliated Research Group:
’:
Keith Busse:
’:
’:
’:
Mark Millett:
’:
Chuck Bradford – Affiliated Research Group: Does the $525 include freight to Butler?
Mark Millett: The $425?
Chuck Bradford – Affiliated Research Group: Yeah.
Keith Busse: No. The $525 to $540.
Mark Millett:
’:
Chuck Bradford – Affiliated Research Group: Yeah. But you talked about Mesabi Nugget?
Mark Millett: Yeah.
Chuck Bradford – Affiliated Research Group: Being up, I thought you said $425.
Keith Busse: He was really just giving you an estimate of a cost structure out there in time, which could be $400 to $425, because the rising input costs until such time as we get to our own mining efforts.
Chuck Bradford – Affiliated Research Group: Okay. That was going…
Keith Busse: That went down sharply at that point in time.
Chuck Bradford – Affiliated Research Group: That was going to be the next question. Just what would it be once you have the mines up and what is the current status of the permitting?
Mark Millett:
’:
’:
’:
’:
’:
Chuck Bradford – Affiliated Research Group:
’:
Keith Busse: There is.
Chuck Bradford – Affiliated Research Group: Okay. Thank you.
Operator:
’:
John Tumazos – John Tumazos Very Independent Research: Good morning. Could you describe the important customer categories driving the strong engineered bar orders? Clearly engineered bar is tailored for an application and a little less subject to inventory bubbles than commodity steel grades?
’:
Keith Busse: John, this is Keith. I think on SBQ, you are seeing strength in off-road. You are seeing strength in heavy equipment. Strength from forgers, order entry from forgers is up even cold finish bar guys order entries are up, driven by, again, off-road and driven by heavy construction, probably, also driven by the fact that we have earned our spurs or earned our wings.
’:
’:
’:
’:
John Tumazos – John Tumazos Very Independent Research: Thank you.
Mark Millett: And John, could you just clarify your second question…
John Tumazos – John Tumazos Very Independent Research: So what are your ambitions about iron ore mining? You are presumably going to mine enough to feed Mesabi Nugget.
Mark Millett: Yes.
Keith Busse: Yes.
John Tumazos – John Tumazos Very Independent Research:
’:
Keith Busse: With success of the technology, we would want to support future batteries and future sales of the finished product with that ore content rather than sell it to others.
John Tumazos – John Tumazos Very Independent Research: So there is no ambition to a minor per se?
Keith Busse: Per se.
Mark Millett:
’:
’:
John Tumazos – John Tumazos Very Independent Research: Thank you.
Keith Busse: Thanks, John.
Operator: Please go ahead, sir.
John Tumazos – John Tumazos Very Independent Research:
’:
Keith Busse: Okay.
Operator:
’:
Mark Liinamaa – Morgan Stanley: Yes. Hi, all. Just quickly back to scrap. OmniSource on a standalone basis had a pretty nice operating profit. I believe it was $43 million. Mark or Keith, can you comment on where you see that as being relative to normal? How much upside in terms of volume we could see on a normal run rate basis? Thanks?
Keith Busse:
’:
’:
’:
’:
Mark Liinamaa – Morgan Stanley: Great. Thanks.
Operator: Our next question is from Brian Yu with Citi. Welcome Brian.
Brian Yu – Citi:
’:
Keith Busse:
’:
’:
Brian Yu – Citi:
’:
Keith Busse:
’:
’:
’:
Brian Yu – Citi:
’:
Keith Busse:
’:
Brian Yu – Citi: All right. Thank you.
Operator: Thank you. And Mr. Chairman, as there appears to be no more questions at this time, I would like to turn the conference back over to you, sir.
Keith Busse:
’:
Operator: Ladies and gentlemen, that does conclude the Steel Dynamics first quarter 2010 earnings conference call. We thank you for your participation.